Operator: Good morning, and welcome to Galaxy Digital’s First Quarter 2021 Earnings Call. Today’s call is being recorded. At this time, all participants are in a listen-only mode. Following the formal remarks, we’ll conduct a question-and-answer session. Webcast participants can submit a question online directly through the webcast. Further instructions will be provided as Q&A begins. At this time, I’d like to turn the conference over to Galaxy’s Investor Relations team. Please go ahead.
Unidentified Company Representative: Thank you, and good morning, and welcome to Galaxy Digital’s first quarter shareholder update call. Before we begin, please note that our remarks today may include forward-looking statements. Actual results may differ materially from those indicated or implied by our forward-looking statements as a result of various factors, including those identified in our filings with the Canadian Securities Regulatory Authorities on SEDAR and available on our website or in future filings we make with other securities regulators.
Mike Novogratz: Thanks, guys. Listen, we’re in a beautiful New York spring day, almost summer. Spring is about growth. Our earnings, our sector, our Company is all about growth. My job today is to kind of highlight some key level things that happened in the quarter that are happening in our space. And I’m going to turn it over after that to Chris, Damien and Alex to give you the details, to fill in the blanks. I don’t want to bury the headline. Listen, $860 million earnings for the first quarter, pretty spectacular from where we sit. That’s 3 times what we delivered in the fourth quarter, which we thought was pretty great. Our counterparty trading volumes grew 50% quarter-on-quarter, 290% year-on-year. Our Asset Management increased 58% on the quarter. Our largest and most mature business lines are now running at a profit. We’re on track to continue this trend in the quarters ahead. We’ve continued to rapidly grow our team, onboarding world-class talent at a staggering rate. We’ve added this -- just this -- since last I spoke to you, we’ve added 30 employees and are now nearly 200 people across the globe. And that’s pre-BitGo. And by the time we integrate BitGo, we’ll be 350-plus employees. I said earlier, this is about growth. We see this space as an unbelievable growth space. I’m going to talk a little bit about what I see. It’s easy to get buried in the volatility of the day, Elon Musk’s Twitter comments, Bitcoin going down 4,000 points and everyone starts running around like chickens with their head cut off. I don’t want to miss the big picture. The big picture that is this space is growing, right? Total crypto assets right now are about $2 trillion. That’s 0.5% of global growth. All the trends we see have that heading towards 2% to 3% of global growth in the next 24 to 36 months. So, the expansion of our opportunity set is really, really exciting. Where is that coming from? It’s coming from institutional adoption as investors, right? We see hedge funds, insurance companies, pension funds, all walks of investors participating in the space at an accelerating rate. But, we also see corporates and new companies building in the space at an accelerating rate, right? The tech companies are moving in. The banks are -- the traditional investment banks all moving in.
Damien Vanderwilt: Thank you, Mark. Good morning, everybody. I’d like to start by extending a warm welcome to Erin Brown. I can speak for Chris, I know in saying that we are both delighted to have her part of the executive team and to work with us in this period of hyper growth in the Company. Today, I’d like to focus my remarks really on three key areas: The key industry trends and client discussions we’re having; a strategic overview of the BitGo deal; and an update for our Asset Management and Investment Banking businesses. I spent the last few months with our business leaders and clients learning about their goals, pain points and ideas, really with an eye towards scaling the Galaxy platform. The biggest news, I would say on the client discussion front is the shift from how do we get into crypto to what more can you offer me in crypto, now that we’re here? Some of the client trends we’ve been predicting for the past year are now really coming to fruition. Clients who started out just trading in Bitcoin, looking at more focus into the crypto space and using us as a thought partner for how to achieve this positioning across markets, Asset Management and Investment Banking. Growth equity and strategic capital is making its way into the sector quickly. It’s beginning to appear now as early as several Series A rounds. Valuations are at significant highs. Some clients are coming to us to play catch up, noting that they are really underweight crypto and asking for guidance on how to get proper exposure sensibly. Our Investment Banking business is also seeing increasing inbounds from crypto companies, companies in our sector who are actively pursuing M&A or spec combination strategies. Our growing sales team is connecting clients to Galaxy products and teams to meet this growing demand for varying degrees of crypto exposure, and I’m excited to report a marked uptick in requests for net new products from existing Galaxy customers. Chris and I’ll share some examples across our business lines later in our remarks today. Our initial feedback from clients is that they are absolutely thrilled with the addition of BitGo and how it will allow them to get the benefits of BitGo’s offerings while remaining a client of our firm at Galaxy. For some clients, particularly hedge funds, being able to transact prime and custody digital assets with the same firm is preferable and valuable. Other clients will prefer to diversify where their digital assets are custodied. We can now do both and provide clients with a combination of products and services that exactly fits their needs.
Chris Ferraro: Thanks, Damien. Before jumping in, I want to spend some time on the BitGo transaction and what it means for Galaxy. Damien highlighted some of the strategic merits, and I’ll hit on some the financial impacts. But remember, Galaxy plus BitGo means we can now deliver increased value to our clients with a comprehensive suite of solutions covering the entire ecosystem. As a reminder to the transaction details, we’re acquiring 100% of the outstanding shares of BitGo in a stock and cash deal with an implied value of US$1.2 billion based on Galaxy’s closing share price on May 4, 2021. The purchase price reflects the strength of BitGo’s technology-focused reoccurring revenue business model and the strong growth prospects we see for our combined businesses. The cash portion of the purchase price will be funded using Galaxy’s balance sheet, and we will issue incremental common stock to acquire BitGo’s net digital assets at closing. The transaction is expected to close in Q4 of 2021, subject to regulatory approvals, approval of our domestication to the United States by Galaxy shareholders and other customary closing conditions. Turning to BitGo’s financials. This deal diversifies Galaxy’s business with the addition of revenue streams that are significantly less correlated with digital asset prices. About 75% of BitGo’s revenue is reoccurring in nature in the form of contractual monthly fees, based on transaction volume through wallets, average assets under custody and other ancillary recurring services with monthly minimum fee requirements in some cases. We will also benefit from the roughly 50% of revenue coming from clients abroad. BitGo has demonstrated a strong ability to build a high-value recurring revenue customer base and grow assets under custody through its core wallet and custody services technology as well as grow key new lines of business. In its institutional custody business sitting with over $40 billion of assets under custody, which they’ve now grown 150% this year alone. BitGo is one of the largest crypto custodian providers in the market. While that progress includes asset price appreciation, new inflows, client accounts for over 50% of that growth over the prior year. We’re also really excited about BitGo’s more nascent crossover product offerings like prime lending and trading, which we believe will fit well within Galaxy’s institutional trading and lending offering on day one. And additional platform services like BitGo’s portfolio and tax products will be excellent value-added offerings for clients on our -- as we progress to build our single dealer platform out. I’d now like to spend some time walking through the performance of our trading and investing businesses and share some of the specific opportunities and trends I’m seeing across the space. Our trading business continued the momentum we reported last quarter, resulting in yet another record quarter across all our key operational measures, including counterparty trading volumes, size of counterparty loan book and gross counterparty loan book originations. Counterparty trading volumes were up over 50% quarter-over-quarter in Q1 and nearly 300% year-over-year from Q1 2020. Our lending business continues to be a source of strength, and we’ve added multiple sophisticated clients in the past months. In the first quarter, our lending book grew in excess of 290% over the previous quarter to approximately $440 million and our gross counterparty loan originations grew over 500% to approximately $670 million. And just to give you line of sight into activity to date, that dramatic growth in our loan book has continued through April of this year, and I’m thrilled to share our inception-to-date counterparty loan originations are now well over $1 billion as of last week. We’re also excited to see multiple bespoke lending deals live over the last few months, notably, a partnership with Hut 8 and multiple long-term credit facilities for our clients across the globe. Turning to derivatives. Under the leadership of Rob Bogucki, who joined us late in 2020 and has been working side-by-side with Jason Urban in building out the franchise trading business, we’ve more than doubled client-facing derivative trading volumes over the previous quarter, and we’re seeing strong demand for hedging and volatility management strategies on the derivatives desk. The demand for hedging strategies has migrated from just Bitcoin and Ethereum-based to DeFiers names like Uniswap and Solana. Also, I’m thrilled to share we onboarded over 100 new clients to our trading business in the quarter and increased the number of tokens we make markets into over 90. We believe this scale and scope will continue to offer our clients unparalleled access to liquidity and bespoke hedging strategies for nearly all the tokens they hold and want to transact in. This quarter, the trading business’s income increased to $509 million, excluding additional unrealized gains and other items of additional $162 million of income versus a loss in the prior year period. Moving to our Principal Investments business. We’ve continued to invest in the most compelling opportunities across the DeFi and blockchain ecosystem, now holding approximately 80 investments across 60 portfolio companies. In Q1 of this year, our team made 12 new investments, including Bullish Global, Radical, Growth Labs, Komainu, Hash Rate, Anchor and TaxBit, as well as an add-on into pro rata into Fireblocks’ Series C to just name a few. We remain focused on ensuring that not only are we out in the marketplace and gaining access to all the most cutting-edge cryptocurrency and blockchain network projects early, but then we can also provide a value-add above and beyond just capital to these founders and teams. Investing into network protocols is not just about capital deployment. There is no such thing as set it and forget it in crypto. We believe that investors also need to be community builders, contributors and most importantly, participants in this new world. And so, to that end, we are currently in the process of significantly expanding our Principal Investments team to include a diversity of talent and background experience across fundamental investing, software engineering, data analytics and advanced mathematics. Finally, as we mentioned during our Q4 earnings, the team successfully realized US$125 million liquidity event this quarter from one of our portfolio companies. Now, turning to Mining, where event this had a busy quarter. As we shared last quarter, the team closed their first two mining finance deals for two separate North American miners. The deals are structured to provide clients with mining project and equipment finance needs as our clients were struggling with procuring next-generation mining devices from Asia due to high down payments raising from 50% to 100% and significant lead times. We were also excited to announce our partnership with Hut 8, one of the largest Bitcoin mining players on a tailored lending deal that will enable Hut 8 to earn yield on a Bitcoin on their balance sheet, while simultaneously minimizing their Fiat expenses by providing access to a US$20 million credit facility. We look forward to offering more bespoke deals to clients like Hut 8 in the future, demonstrating the synergistic ability of Galaxy to provide access and offerings to the unique needs of all infrastructure investment players in the ecosystem. And of course, we continue to mine Bitcoin on a proprietary basis and continue to do so at a significant discount to spot, mining a greater than 80% discount to fair market value in the quarter. And I’m excited to share that we have forward purchase commitments that we expect will allow us to achieve mining capacity of just shy of 2,000 petahash with monthly deliveries slated through the end of 2022, which is in excess of 1% of the total Bitcoin network hash rate as it stands today. With that, I would now like to welcome Alex to his first earnings call with Galaxy and turn it over to him to walk through the specifics of our financial performance. Alex?
Alex Ioffe: Thank you, Chris. It’s good to be here. Some of what I say will be a repeat, but we think these are important measures. Galaxy had a record first quarter. We earned $860 million in the three months ended March 31. This was the second consecutive record-setting quarter for us as we earned $336 million in the fourth quarter of last year. In this quarter, each of our product lines set new records, as Mike, Damien and Chris already described. However, profits in the quarter came predominantly from our Trading segment. The gains were driven by higher digital asset prices during the quarter, as well as performance of our proprietary and counterparty trading desks. In addition, in this quarter, we realized a gain of $155 million from Principal Investments, primarily driven by one investment that came to fruition. Our portfolio of investments continues to grow with 12 new investments in this quarter. Currently, we hold positions in 60 companies, which we expect to gain value over time. Turning to expenses. Operating expenses for the quarter were $130 million compared to $50 million in the same period last year. As Mike mentioned, expenses increased from the year-ago quarter, reflecting our growing employee base. However, most of the increase was from setting aside a larger amount of discretionary equity and cash-based compensation. We determined this amount as a proportion of profits. To be fair, this is not a set parameter. We plan to make adjustments to this allocation as we go through the year, depending on market conditions and the absolute total set aside for the bonus. As a result of our strong profitability, we also recorded a $48 million in tax expense at the public company, corresponding to the share of income allocated to the public holders at the relevant corporate tax rate. Finally, balance sheet. Our equity grew to $1.7 billion at the end of this quarter, up from $800 million at the end of last year, giving us flexibility to take advantage of market opportunities. Now back to the moderator for questions.
Operator:  Our first questions come from the line of Joseph Vafi with Canaccord Genuity.
Joseph Vafi: Hey everyone. Good morning. Congratulations and thanks for taking my question. Maybe I’ll start one kind of more on an operational and go-forward basis. I know you mentioned the counterparty loan book growing nicely and growing again in April. What does the addition of BitGo do to that part of the business moving forward in terms of now being able to custody in-house relative to lending and counterparty loans? Thanks. And then, I have a quick follow-up.
Chris Ferraro: Yes. Thanks for the question. Great to have you on the call. This is Chris here. The most immediate and simple answer for us in the combination is BitGo has over US$40 billion of assets under custody with clients who currently today, while they interact also with BitGo’s lending book, don’t have a productized direct access for yields, for example, on their assets. And so, our near-term opportunity that makes the most sense of the world is to offer up to their custodial clients access to different types of yield strategies, one of which would be allowing our -- participating with our lending book and getting yield on their assets. So, for us, that’s a huge well of client demand that we are not currently accessing today. And even BitGo is not really fully monetizing it.
Joseph Vafi: Okay. That’s helpful. And then, at a high level, when we kind of think about some of the different digital currencies out there, if Mike’s still there on the call, how do we think about Ethereum being kind of a store of value? I mean, clearly Bitcoin is a store of value. But, if this Ethereum network continues to gain value and part of the value of any digital asset is the underlying blockchain itself, has Ethereum become a store of value as well as Bitcoin and other digital assets are used for other things, just some thoughts there at a high level? Thanks a lot.
Mike Novogratz: Yes. So, I think Ethereum is better thought of as a network, a network effect. So, the more people that build on it, right, the more people that build on top of it and use it to be the base layer of trust for their transactions, the more valuable it’s going to be. It’s hard to differentiate where store of value switches to use, right? It’s going to its value because it’s used, and it’s going to be used a lot. And I think, there’s not an easy mathematical calculation on what the -- and how to value it is. And so, I would probably say, we think of it as network effect and not just pure store of value. But, it would be naïve to think people don’t want to put some value in. If you think about it, you could have bought into the internet and bought into the base level of the internet, you’re storing some of your money there, just like you’re storing Google. But I don’t see it the same as gold. And I know it’s kind of a wishy-washy answer, right? Gold is the only element on the periodic table that really just gets valued because there’s a social construct that says it’s valued. And I think Bitcoin has that space in the crypto universe. I don’t think Ethereum would be where it is today if it wasn’t for all the DeFi being built on it, all the NFTs being built on it, all the stable coins, central bank issued digital currencies that I think could be built on it. And so, it really becomes the Web 3.0 bet. And to be clear, there are competitors to it. There are lots of them, right? And I call them minos, blockchains in name only. They are less decentralized than Ethereum and therefore much more efficient and faster right now. And so, there’s a grand experiment going on with lots of other ecosystems. And there’s going to be -- it’s not going to -- this debate is not going to get settled in the next six months or even few years. Tons of innovation is happening around ecosystems, like Solana or Terra or the Binance Smart Chain, which quite finally don’t have near the decentralization that Ethereum does. But, we’ll see what the consumers demand. I think, in the long run, regulators and consumers will demand a very-decentralized blockchain. And so, my thought is, even though these other blockchains are flourishing, they’re going to either have to figure out how to decentralize or tie into a Ethereum at one point. And so, I guess, that whole ecosystem really isn’t just store of value. It’s where the growth of the financial system is going to happen. But, if you look at the market cap now at $400 billion, it’s hard -- it’s really hard to do a discounted cash flow model to get you anything close. And so, you have to assume that there is a lot of -- we’re in this transitional state going from a non-blockchain world to a blockchain world. And so, there is certainly store of value as part of the formula right now. Sorry, if that was a convoluted answer.
Joseph Vafi: No, no. That was helpful, Mike. I get it. It’s moving. It’s evolving fast. It’s not just a store of value. It’s the actual blockchain itself. There’s going to be competitors. There’s going to be a lot of thought as how it evolves, but it’s going to evolve somehow. That’s helpful. Much appreciate it, Mike.
Mike Novogratz: Thanks.
Operator: Thank you. Our next questions come from the line of Jamie Friedman with Susquehanna.
Jamie Friedman: Hi. Thank you for taking my question. Chris, in your prepared remarks, you talked to the recurring revenue attributes of BitGo. I was wondering if you could revisit that, elaborate on it, because I wasn’t sure intuitively why it’s so recurring.
Chris Ferraro: Sure. So BitGo’s most mature business lines that make up over 75% of the Company’s revenues. And we’re working towards and we’ll have more detail and disclosure around BitGo and Galaxy, and BitGo and Galaxy look together combined as we go here in the next couple of months. Those business lines -- the company generates revenue in a couple of different ways. One way, most part of it is the company has contracts with clients that are, in some cases, single year, in some cases, multi-year in nature, that generate monthly recurring fees, that are driven by a percentage of value transacted through BitGo’s wallets. But, those transactions also have minimum monthly fees associated with them as well. And so, there’s a recurring revenue nature to the business model as well as the way we think about it as a sort of kicker to the upside, depending on volumes, which are denominated in dollars and also correlated with the price on the upside. So, you protect on the downside and benefit on the upside, just from a revenue model basis. Same thing on the custody side, we think about it more as reoccurring revenue. In that our custodial clients there don’t have necessarily long-term contracts. But certainly, we view those assets generally as sticky, and the revenues are generated on a monthly basis and are driven by the total value in custody. Is that helpful?
Jamie Friedman: Yes. That’s perfect. That makes sense. And if you don’t mind, if I could ask 1 more? If you guys were to isolate just a couple of KPIs that you use to run the business, and I realize saying the business may be too general because there’s a lot of businesses here. But, yes, I mean, for someone in our seat, if there’s a couple of things you could boil it down to, what should we be looking at?
Mike Novogratz: It’s a good question. I mean, to some degree, we are correlated to the growth of this whole ecosystem. And so, you can look at the total growth -- the total market cap of crypto assets. I’d like to think as that grows, we grow faster that our economies of scale and our first-mover advantage in the knowledge base we have should let us continue to take a bigger share of the market. But, I think, first and foremost, this is a growth industry. And so, I would look at total crypto market cap as the primary -- because we’re playing it so many ways. We’re playing it as a primary investor, right? So a lot of our near-term big wins are going to come from these bets we make in the DeFi space because we’re making really early bets. And as those things mature, they mature fast. Those are big wins. Our more stable, longer term money is going to be connecting to all these institutions that are slowly getting involved. And it takes time to get them involved. They start small, they have to get onboarded. They’ve got to get comfortable. They got to get their risk management systems in place. And so, we’re making a giant investment in connectivity to those organizations, right? So, that’s salesmen, that’s operations, that’s risk. But, if I’m right on my assumption that we’re going to go from $2 trillion of total wealth in the space to 3 times to 4 times that, all of those businesses should really grow. If I’m wrong, and if that -- if we’re sitting here next year and that’s a $1 trillion number, we’re going to have looked a little bit overly aggressive in hiring as many people as we’re hiring, right? I mean, we are making a growth bet. And so that -- I mean, maybe it’s too macro of an answer for you. But, I think that’s the easiest way to think about the Company. Internally, we have so many different pieces kicking. And we’re hoping that gives us a diversity of earnings. Normally when the markets have a down day, our arbitrage businesses have a good day. And so, we’re trying to build in both long-term and short-term diversity of earnings to create some stability. But, when you’re trading in instruments that are 80 vol, 90 vol 100 vol, I don’t want to mislead people that to think our earnings are going to be as stable as more traditional businesses, right? We are in a really high growth, volatile industry.
Operator: Our next questions come from the line of Rich Repetto with Piper Sandler.
Rich Repetto: Yes. Good morning. And this message -- this question is for, I guess, Michael. And you mentioned -- I believe you mentioned regulatory issues earlier. And I’m just trying to understand, in the U.S. you have a new head regulator, the Chairman of the SEC, Gary Gensler, who’s thoroughly familiar -- I believe he’s thoroughly familiar with blockchain and Bitcoin. And I believe you know him pretty well as well. So, I guess, the question is, what regulatory changes could come out to increase the adoption or not, and what are you expecting from a regulatory stance, I guess? And what -- some of the specifics as well that might benefit the space?
Mike Novogratz: Yes. It’s a great question. Listen, I think, first and foremost, which is going to be helpful, it’s just clarity, right? The old SEC had Jay Clayton, for whatever reason, didn’t really want to engage in crypto. He didn’t completely disengage, but there were plenty of things that he just passed on. And I think Gary will address those. The most positive thing could be a regulatory sandbox for smaller projects to get started without the same safeguards that larger products would be. That’s where innovation happens. And so, I think everyone is pushing for some form of that. There’s going to be clarity around an ETF at one point. I’m almost certain that some point in the next 12 months, we will get an ETF, and I think that will help retail adoption. There’s a lot of wonder on what is decentralized enough for the SEC not to think of it as a security. They’ve already said Bitcoin is in that bucket and the theory, it is most likely in the bucket. They said Ethereum is in that bucket. But there are lots of other projects. Are they going to be seen as securities or not securities? And so, just tighter definitions. I think, listen, in lots of ways, the institutional market will benefit in a big way from clarity from the SEC. It allows you to know what bets to make, should you build offshore or onshore. Right now, our uncertainty is pushing lots of people to develop things offshore, which isn’t good for the U.S. in the long run. And so, I do think he’s only been in the seat for less than six weeks. Give the new administration six months, and I think we’ll have a lot of more clear rules.
Rich Repetto: Okay. And one other follow-up, I guess, more broad as well. But, you have Coinbase public. They do some of the -- certainly not as -- I don’t believe it’s broad or have as many business lines as you all. But do you view them -- they certainly do custodian and have an institutional focus. Do you view them as competitors or do you sort of view that’s helping to grow the space, I guess?
Mike Novogratz: Yes. The interesting thing about the whole community of people that operate in crypto is all of us were kind of frontiersmen. And it has been this collaborative/competitive environment. Coinbase has mostly been focused on retailer. They are moving more and more into institution, but they were a retail-based business, right? They’ve got an amazing brand that pulls in tons of retail investors. And we’ve been focused almost solely on institutional. But, listen, we’ll compete with them in some things, and we’ll collaborate with them in some things. And I think that’s the spirit of the crypto community in general. Like I said, none of this is going to work for any of us. If a year or two years or three years from now, the overall market cap of the space is a lot lower, not a lot higher. And so, I think Brian Armstrong at Coinbase and all our competitors/collaborators are making the same bet that this crypto revolution, this shift to a blockchain-based ecosystem is happening, and it’s going to happen at an accelerating rate. And so, I hope that’s not a wishy-washy answer for you. That’s the way we think about it.
Rich Repetto: I understood. Thank you very much. Very helpful.
Operator: Thank you. I would now like to turn the call back over to Galaxy’s Investor Relations team for any webcast questions.
Unidentified Company Representative: Thank you. The first question we’re getting from the web. Chris, you gave some good detail on the investments made through the quarter, any trends that you’re seeing or large liquidity events that we should be expecting going forward?
Chris Ferraro: Sure. Trend-wise, I would break it into two different buckets. The sort of centralized crypto infrastructure businesses, custodians, wallets, exchanges, centralized exchanges. That side of the business, we’re seeing big players break out in terms of both, performance and valuation, and consolidation on the lower end. And so, we have a number of companies in our portfolio that will likely get consolidated and rolled into bigger platforms, and we’re seeing it pretty widely across the space. And as you guys have seen, we are likely to be a big player in that as well. And we’re very focused on it. On the decentralized side, our team is spending the most of their time on the sort of forefront of new technologies in building Web 3 and decentralized finance. And so, the trends we’re seeing there are rapid, rapid, rapid fire pace of development, capital investment and proliferation of new technologies. And so, whether it’s figuring out how to bring in real-world data through Oracle’s on-chain, whether it’s creating bridges that allow cross-chain compatibility. All of those different kinds of automated market making, technologies that function as decentralized exchanges that allow for quick peer-to-peer transfer value, all of those different technologies, which are -- some are on test phase, some are actually launched commercially and being used at increasing scale is what our team is focused on. So, like I articulated in my comments, the most important thing for us to focus on is not about us just finding those projects early and committing capital to them, but having the full fortune weight of the Galaxy team, our expertise behind supporting those projects, actually getting in and helping develop where we can, participating on network and being community builders for those projects. That’s where the real value-add and the real gains are going to be made for us, we think, and for the whole industry.
Unidentified Company Representative: Great. Thanks, Chris. We just got another one in here. Is there any comment that you guys have around tweets and news flow impacting the recent price of Bitcoin and then the volatility related to that? Does it have any impact on our fundamentals and the overall crypto industry, beyond Galaxy Digital? And would you expect it to be part of the crypto development going forward?
Mike Novogratz: Listen, sure. I mean, crypto grew up in some ways on Twitter. It’s where information is passed. It’s where communities are built. And so, I think Twitter will continue to be a big part of the crypto ecosystem. Elon Musk has caused a lot of volatility in the last few weeks, certainly in the last few days. The way I take it and look at it is to take the guy at face value. He pointed out that with the growth of Bitcoin comes the growth of electricity use, with the growth of electricity use, means not all of them is going to be green, and he wants to see the Bitcoin universe and the overall electricity universe migrate to more green sources. Now, he’s got a vested interest to do that, right? He’s well-invested in green. And so, I think there’s too much conspiracy theory stuff going on in the market right now. I do think you’re going to see an ESG response from the crypto community, specifically around Bitcoin, but all crypto, knowing that all companies need an ESG response. So, every single industry is moving towards some carbon neutral 2040 or carbon neutral 2050 or carbon neutral at some point, and I don’t think our industry will be any different. I think it’s unfair that -- to point out, one reason Bitcoin particularly gets criticized for electricity use is that it is very clear about exactly how much it uses. There’s plenty of industries -- if I told you that YouTube uses as much electricity or more, you’d kind of scratch your head or hair dryers or all kinds of things. And so, I do think -- I would have rather had those comments pointed at the power business in general. But, I think it’s going to be here to stay, and we’re going to address it as a company, address it as an industry. I don’t think it’s long-lasting damage. I think it’s caused short-term volatility. I do think the fundamentals of our industry are so strong and accelerating that some of this stuff is meant to be -- is expected to happen, right? When you get so much capital flowing in -- into the space, people get too long and then they get scared for something. And so, we’re not going to go from being a volatile space to a non-volatile space overnight. It’s going to take years. Anyway, long answer.
Unidentified Company Representative: Fair enough. Next question from the web is, could you speak more about your Terra-LUNA partnership?
Mike Novogratz: Yes. Listen, we invested in Do. And a while ago, I met him years ago in Korea and didn’t invest the first time, which was a mistake, and luckily got invested -- I don’t know, how many months ago now, seven months ago or something, maybe eight, and was just impressed. He’s one of the most impressive young CEOs in the space. He’s built an amazing ecosystem. I like the Chai payment system as kind of one of the first examples of crypto being used beyond kind of the crypto sandbox, right? There’s a real-life use application in Korea for payments. I have kept up -- last night saw, I think it was like 7% of all payments and the payments get processed in 6 seconds as opposed to 6 days. And so, consumers are enjoying using a blockchain-based system better than the system they were using before. And so, he’s an innovator. We’re supportive of stuff he does. But the world is kind of simple in some ways, right? When you bet on someone and they make you money and they build something great, you want to keep betting on them. And we’re hoping in each of these cases that we provide value to those ecosystems. We provide value through our investment expertise and some advice; we provide value by using their products by promoting their products by shining light where other people might not see them. And so, we think there’s a symbiotic relationship with all the guys we invest with.
Unidentified Company Representative: Great. Next one is a follow-up from Owen Lau at Oppenheimer. Do you think Ethereum 2.0 lightning network and sharding can be a cleaner option in crypto?
Mike Novogratz: Again, it’s an interesting question. Like, in some ways, Bitcoin is supposed to -- if you think about Bitcoin as a store of value, which is $1 trillion, hopefully going to $4 trillion, $5 trillion to $10 trillion, who knows, it’s supposed to be expensive to secure it, right? If it wasn’t, I’d be scared. And so, I think the bigger question is, how do we get -- and this whole energy of clean, like question of clean, we’re going to see most electricity usage move towards green in 7, 8 years, only because it’s going to be by far the cheapest, right? People still migrate to cheap electricity. And I think in the interim, you’re going to need to see -- you’re going to need to see stopgap measures, right? If it’s carbon sequestration, carbon credits or some version of that, like you’re going to see with every industry, not just our industry. The faster processing ecosystems are certainly going to be part of the solution, 100%. But, I don’t think we should steer away from like -- and shy away from the fact that this is a really important new industry, and it’s going to use a lot of electricity, just like all important electricities -- industries do.
Unidentified Company Representative: Thanks for the question there, Owen. Last one we have here in the queue. Any comments or progress to speak to on blockchain NFT related gaming company investments from Galaxy Interactive?
Mike Novogratz: Just that it’s one of the most exciting parts of our portfolio. I was actually out with, I guess, what I’d call, the founder of the NFT yesterday morning for brunch, a guy named, Eric Pulier, who we’ve invested with for a long time. And it’s just such an exciting space. And so, that Galaxy Interactive portfolio has, I don’t know, 40, 50 investments in it sprinkled all around that ecosystem. So, I expect that to be a big contributor in the future. They are adding to the assets that they manage. We’re putting stuff both on balance sheet and in third-party managed funds in that space. And so, I couldn’t be more excited about that.
Unidentified Company Representative: Great. That concludes our Q&A. I’ll now turn the call back to Mike for closing remarks.
Mike Novogratz: Guys, I just want to reiterate two things. One is, I’m unbelievably grateful to the hard work of the Galaxy team, quite like -- and the BitGo team out in California and where else they are. The last five months has been an unbelievable pace for our industry, but certainly for our two companies. I’m bullish on this space. I hope it comes loud and clear that we see ourselves as a growth company. We’re going to continue to invest in this space, both with our home capital and other projects, but in our company. And look forward to seeing you guys or talking to you guys next quarter.
Operator: Thank you for your participation. This does conclude today’s teleconference. You may disconnect your lines at this time. Have a great day.